Johann Strobl: Good afternoon, ladies and gentlemen. Sorry for the delay. Thank you for taking the time out of your day to join us for our Q1 Update. We can report consolidated profit of €260 million in the quarter in the core of the group, excluding Russia for a return on equity of 7.3%. It is the case every year, we have booked a large portion, but not all of expected governmental measures and other contributions in the first quarter. Our CET1 ratio also excluding Russia, comes in at 15.9% with the implementation of the CRR3, some relief on operational risk and very modest loan growth. I will cover all of these in just a minute. Looking at the main revenues. Net interest income was stable in the quarter, whereas fees were modestly weaker, as we usually see it in the first quarter. Compared to quarter one of last year, fees are up 8%. The cost income ratio has increased compared to Q1 last year, in part due to pressure on OpEx, but also due to some effects on the revenue side. Income from associates was lower, although this effect is offset by a release of impairments in other results and is therefore neutral in the bottom line. And therefore, neutral trading income was lower due to tightening of our own credit spreads in the first quarter, but this has already partially reversed in April. Nevertheless, we remain committed to cost discipline, especially in head office, and we have kept our cost/income ratio target unchanged for 2025. Let's now move to our Russia derisking slide on Page 6. In the first quarter, we have shrunk the loan book by a further 4%. We remain ahead of the schedule agreed with ECP and generally fully compliant with the requirements. The different measures taken to reduce deposits are starting to show now results, and we can report a 9% drop in the quarter. I would like to draw your attention to the 23% ruble appreciation versus the Q1 -- sorry, in the Q1 versus last year. And this means that our reported balance sheet figures have increased. What is important, of course, is that our business reduction and derisking continues regardless of any political or geopolitical developments. In parallel to this, we continue to work on a sale or partial sale of our Russian business. It remains to be seen if recent geopolitical developments might facilitate an exit from Russia. Finally, let me address the Rasperia court case. Two weeks ago, our appeal was rejected. The appeals court confirmed the initial verdict, including that damages could be enforced against our Russian subsidiary. Our Russian colleagues have filed an appeal with the next instance. In the meantime, the verdict was partially enforced last week and the CBR has withdrawn the ruble equivalent of €1.9 billion from our subsidiaries account and transferred this to Rasperia. The amount covers the damages, while the remainder, around 170 million, which covers the accrued interest, may be withdrawn at any time. Once the interest part of the verdict has also been enforced, we expect the ban on the transfer of the shares to be lifted. We are also finalizing our claim in Austria and will take legal actions against Rasperia in the near future. Please understand there is a little more that I can say about the next steps, both from an accounting financial perspective or in terms of legal strategy. Let's now move to the following slides, starting with the core revenues, which is Slide 7. Net interest income is again very stable despite the rate cuts in recent quarters and slow loan growth. We have benefited to some extent from hedges as well as on the liability side from higher deposit volumes, especially in retail. Fees are down versus Q4 2024, but as you know well by now, this is largely seasonal. For both NII and fee income, our guidance for 2025 is unchanged. Balance sheet on Slide 8, where loan growth was muted [indiscernible] in particular has been very sluggish, whereas retail demand is still resilient. On the liability side, I just mentioned retail deposit inflows, which continued in Q1. As mentioned a minute ago, deposits in Russia decreased noticeably in the quarter. On the next slide, liquidity ratios remain very prudent. In head office specifically, we continue to run a very conservative asset and liability matching. I'm referring to the second bullet. And as you might recall, our ability to maintain very high liquidity even in extreme scenarios. The slight drop in LCR is explained by a shift of liquidity from reverse repos to ECP deposits and to some extent net interest income optimization. There are some costly surplus deposits, which we were able to eliminate, which lowered the LCR, but do not affect our prudent liquidity profile. On Slide 10. Capital ratios for the group, including Russia, improved to almost 19%. The two main drivers are the implementation of CRR3, which Hannes will address and the 23% ruble appreciation in the quarter. More important to you, however, is the price/book zero scenario where we show the CET1 ratio for the group, excluding Russian, assuming that the Russian business has been deconsolidated with a full loss to the equity. This worst-case CET1 scenario now stands at 15.9% with again, CRR3 as a main driver together with slow loan growth. I would simply flag that for the rest of the year, the Russian operational risk component was capped at 2.8 billion, which equals 61 basis points. Guidance for this price/book zero CET1 ratio is unchanged at 15.2%. Please understand that we are early in the year and have not profitability or loan growth. I will skip our capital requirements on Slide 13 with nothing noteworthy to report and move to MREL on Slide 14. For Resolution Group Austria, our buffer remains very comfortable and all of our other resolution groups remain above the requirements. We issued a senior preferred note in February, and we still aim to issue a senior non-preferred this year. You probably are aware that we announced the call of one of our outstanding AT1 notes, the 8.67% coupon notes, together with the decision not to call the 4.5% coupon notes. Here I can simply say that we remain committed to refinancing these instruments at the first possible window, subject to the usual conditions, not least of which include a stable market window. Let's now move to our macro outlook on Slide 15. Despite the revisions, which you can see marked with red arrows, will be higher in 2025 in CE and SEE. Private consumption and investments are driving growth, and we continue to see strong labor markets and wage growth. Defense and infrastructure spending will, of course, help in the medium term, whereas U.S. tariffs are the most imminent threat. On my next slide, please find our key rate and inflation forecasts. Perhaps here I would only flag that over the past six months, we have cut our euro rate estimates while increasing our estimates in key CE markets. Let us now turn to my last slide with our guidance for 2025, which is unchanged. There have been some moving parts since this was published, including headwinds, which add some downside risk. These include the bank tax in Austria, a slow start to the year for loan growth. At the same time, we still have three quarters and we will adjust the guidance later, if necessary. With that, I now hand over to Hannes. Thank you.
Hannes Mosenbacher: Thank you, Johann. Good afternoon, ladies and gentlemen. Thank you for joining us today. Well, it has been a busy start to the year for risk managers everywhere, and I'm happy to report that we have made good progress in Q1. We have further increased our overlays and have started an internal stress test on tariff sensitivities. We have brought our NPE ratio back below 2% and cleared up some of exposures in the head office. Given the volatility in currencies and rates, we have conducted reviews of our market risk exposure. On the regulatory side, we have now implemented CRR3 and are making good progress on the 2025 ECB stress test. On operational risk specifically, we have obtained relief on the Russian component and the price/book zero scenario. Allow me to run you through these one by one. But first, let me simply state that I'm satisfied that we are well prepared for interesting times ahead. Credit risk in Q1 was very benign. We saw virtually no defaults and accordingly, almost no Stage 3 risk costs. Clearly, the outlook remains uncertain, and we have used Q1 to book additional overlays. The macroeconomic and geopolitical uncertainty also leads us to leaving the risk cost guidance at the moment unchanged, up to 50 basis points. Since the reciprocal tariffs were announced early April, we have launched an internal stress test on tariffs. On my next slide, I will share with you our initial thoughts and findings. For now, it appears that the impact is fairly limited. But as we go through individual exposures, we may decide to recognize some further overlays in Q2. Our stock of overlays now stands at €451 million available to us, excluding Russia. Also on the subject of credit risk, we made good progress on some of our non-performing exposures in head office. NPE ratio for the group, excluding Russia, is now back below 2%. As some of the write-offs came from well-provisioned exposure, the coverage ratio decreased in the first quarter. We remain satisfied with our provisioning levels, not least because of our substantial stock of overlays. Away from credit risk, we have seen big moves in currency and rates, especially in the U.S. dollar. We have been busy reviewing our exposure here and anticipating what these moves could mean to our balance sheet, our clients and to our business model. For now, we are comfortable with our positioning and exposure and have not required any meaningful adjustments. Nevertheless, we continue to monitor these developments very closely. With the beginning of the year, we have implemented CRR3 and this has provided around €6 billion of relief to credit risk RWAs, excluding Russia, partially offset by €2.1 billion increase in operational risk-weighted assets. The day one impact is therefore around minus €3.9 billion, whereas the transitional benefits are worth around €1.2 billion. This means after some countermeasures, the fully loaded impact of CRR3 on credit risk and operational risk would be a net relief of an estimated €2.7 billion in 2032. We have excluded market risk for now as the fundamental review of the trading book was postponed. Let's now move on to the next slide, where we can share with you our first thoughts on the potential impact on the U.S. reciprocal tariffs announced and suspended in early April. First of all, we have assumed a blanket 25 rate on all exports from the EU to the United States. Secondly, we looked at the sensitivity of export volumes to the U.S., including elasticity and possible substitution effects. We have done this on both an industry and on a country level. This allows us to capture cases where for given industries, exposure may be more sensitive to country versus another. And finally, we have quantified this estimated drop in volumes due to lower exports to the United States as a result from this 25% blanket rate and mapped it against our exposure using the same industry/country view. Overall, the initial impact on our book appears very limited, very important in a first round effect. Around 2% of our corporate exposure is to industry, which would suffer a drop in volumes above 3%. We are reviewing our exposures going line by line. So far, we have reviewed over €10 billion, and this has led to a very few rating downgrades. Nevertheless, we are designing and conducting an internal stress test specifically on tariffs and trade disruptions. Depending on the outcome, this may be a driver for further overlay bookings in Q2. Dear all, having said all this, we are now happy to take your questions.
Operator: We may now start the Q&A session. [Operator Instructions].
Johann Strobl: Dear ladies and gentlemen, as you see, we -- I'm not sure if we totally have fixed the technical difficulties, which we experienced today. Please apologize for that. What we kindly ask you is to send also questions by email, which we then can read and answer. And once again, please apologize, and thank you for your understanding and patience. And yes, we see some questions coming in. Okay. So I understand there is one question by Robert Brzoza from -- and I'm sorry, if my pronunciation is not that good, from PKO. And it's a question on Rasperia, whether the forfeited funds are in a blocked account or gone? No, they are gone. They have been withdrawn from the accounts of this 1.9 billion as this was a second instance ruling. And I think like in most other frameworks as well, the money is gone. How does this affect the sales process is a question which relates to that. Yes, this is a very difficult question as we are preparing claim for damages. So this is the one element and the way this develops and also the, let's call it, the appetite of the potential buyers, how to treat with this to keep it within the perimeter or take it out. This is still open. As I indicated, the biggest part of the [indiscernible] 1.9 billion, but the interest on it, which had been also decided by the court was -- and I don't know why have not been withdrawn. And so the -- I have no news that the shares have been unblocked, but we assume that in a reasonable -- but we assume, I have to repeat, that over some time that the interest will also be withdrawn and then the ban will lifted. That's my basic assumption. We kept -- and there was then a question also on the value in Austria. So this is a valuation which is linked not to the legal entity in Austria, but it's still a group asset and within the IFRS perimeter. And of course, we do now a revaluation. But in Q1, there was no need to adjust. So the -- it was unchanged, and we will see over the next couple of weeks how the revaluation would -- to what it would lead to. Time line -- was also a question for legal proceedings. Quite difficult. It will take a couple of weeks until we have all the elements together and start proceedings. But here, we will keep you updated as soon as we have significant steps achieved. Thank you for your questions. Now there is some questions from Gabor Kemeny from Autonomous Research. And I will share these questions and answers with Hannes. And one was how much conservatism is built in the core NII guidance of 4.15 in light of NII annualizing close to 4.2 billion in Q1? Yes. I think, Gabor, that's a fair question. As I expressed there, we see some headwind from the loan growth, which was built in and the core question is to what extent rates will come down. You are aware that in euro currency, this is usually a big impact and we assume that the rate cuts will come as shown in the presentation. Yes, I somehow touched it that maybe less will come in the CEE countries. So yes. And then I hand over -- there is one more, which was geopolitically potential facilitating Russian exit. The question is, who is the potential to get quite a number of approvals? And here, the question is if this -- let's say, if a ceasefire and less of sanctions will happen, if this could also facilitate the approval of a buyer? And the third question, Hannes, is about the CET1 deconsolidation, what I understand that the question is that the waterfall from 15.8 or 15.9 what we have at Q1 to 15.2, I guess this was the question. Because the technical part of it, the deconsolidation impact of the current Russian equity and the RWAs are shown in the slide on the Russian part. Hannes?
Hannes Mosenbacher: Well, I can take this over, Johann. Thank you very much. So I'm referring to Page 12, Gabor, and here you see what are the main reasons for the change, RWA increase, Johann was talking about the organic growth, market risk and operational risk as a potential uplift. The one is looking at the current volatility on the FX market, we would believe that we need more risk weights for market risk open position out of our structural FX position with our subsidiaries. That's the number one. And number two is, of course, usually by the year-end, you have these op risk bookings we had in the last three years, very strong and benign gross income figures and also on the way how the op risk is being calculated. We have to incorporate a little bit more so the underlying substance what needs to be incorporated in the op risk has changed and that is the reason for us to believe that [indiscernible] loan growth, but also more volatility on the market risk side and the way how op risk RWA is being calculated, leading to a consumption on the CET1 quarter of 137 basis points. Thank you for the question. I appreciate it.
Johann Strobl: Thank you, Hannes. We have questions from Benoit Petrarque at Kepler. So there was one question, which is referring to what I mentioned in the presentation, a negative impact in the net trading income. And here, it's not the core of our capital markets business, but the impact comes from our own credit spreads. I should have mentioned that in the certificates business we have issues which we have to mark-to-market, and it happens when the credit spread shrinks, then this gives -- as these are liabilities, it then has a negative impact, what we have positively experienced earlier in the quarters. And the second question of Benoit goes to Hannes. It's the question to the Basel IV fully loaded impact on RWAs. Hannes, please?
Hannes Mosenbacher: Thank you. Please follow me to the Page 22. We have, I think, two, three components. The go-live, the day zero impact is the minus €6 billion on the credit risk RWAs. Here, as we shared with you in our last calls, we have three main components why this is such a big amount. On the one hand side, the LGD [ph] has been reduced from 45% to 40%. The second one, since RBI Group is an IRBF bank, a foundation bank, there was always this scaling factor, whatever you calculated on RWAs, it was multiplied by 106. This scaling factor has also been taken away, and there have been some adjustments on the conversion factor -- on the credit conversion factor. So that's the main reason why we have seen or why we see this drop on this zero of minus €6 billion. I indicated and shared with you that at the same time, given the new definition of the op risk, we see an uplift of €2.1 billion. So the uplift on the one hand side, anyway, the classic calculation when it comes to op risk gross income. But nowadays, we also have to incorporate provisions. And what are the big provisions we had to incorporate in '24, '25? This is because of the change of the new environment. This is on the one hand side the legal provisions we have created for our Polish and Swiss franc situation, but also for our Rasperia situation. And that's the reason why you see this uplift of €2.1 billion on the op risk side, means that the zero net effect is 3.1 billion release. At the same time, we all know that there is a transitional period. And in a do nothing scenario, we would believe that only some €1.2 billion would remain. But of course, you would also assume that we adjust our product offering accordingly. So therefore, we believe that our net relief is €2.7 billion. What is for me very important -- dear participants, what is very important, this is excluding market risk topics for now because you know that there is an ongoing discussion when it comes to the introduction period and introduction cutoff time for the fundamental review of the trading book. So all the CRR3 topics is without any assumed adjustments on the fundamental review of the trading book. Thank you for the question. I appreciate it.
Johann Strobl: Thank you, Hannes. We have three new questions by Mate Nemes [ph]. And I start with one which was question to the interest sensitivity of the group for the main currencies and a question about the duration of the euro hedges? So what we have and talking about sensitivity in -- there are many ways to model it. Let's take the one of the interest rate [indiscernible] of minus and plus 100 basis points. So we would have for minus 100 basis points, 12-month NII sensitivity, to be very precise of around 32 million in head office for the euros. And in the other current countries, it's -- and this is all without Russia, around 51 in total. So Romania, Croatia, the local currency, similar to Hungary and Czech. So all these are around 7 million to 10 million per country. And then we have Slovakia where it's around 24. So if I add up everything, excluding Russia, then it's around 66 million for 100 basis point drop. And if you take then the sensitivity into local currencies, the biggest one is, of course, Czech with around 30 million; Hungary, 7 million; Serbia, 16 million minus; Romania minus 6 million; Ukraine, minus 14 million. I don't know if Russia at all is relevant, but there it's around 70 million, as you know, on the deposits and on the accounts. So in total 140 million in the local currencies. So if you add up everything, then it would be around 190 million. If we exclude Russia, as I mentioned before, this is a big amount, around 140. In the other way around, so rate increase, it's not linear in the same way. So here, it would be around 100 million. Your question to the euro hedges, we have different kind of hedges, mainly the model book, but then also partly the equity. And if I add this all up together, on average, 3.5 years is the duration. It spans between very short term to up to 10 years, but this would be the average. And if I may answer the third question of Mate before handing to Hannes, it was the question on downside risk on the guidance for this year. Is it only costs or also NII? Well, I have not mentioned it, but what is for sure and where we hopefully can compensate is the Austrian bank tax when we came out with the guidance, which we kept unchanged. It was -- there was no additional Austrian bank tax. In our case, this was increased by around 55 million for this year, which comes quarter-by-quarter. So we have only digested one quarter of this 55 million in the first quarter. The credit spreads on our own issues, we will see if we see a widening again to the level what we have been used before, this narrowing and see if the 30 million will revise. And yes, the good thing I think you could hear it from Hannes was that he is rather optimistic on the risk costs as far as we relate to the guidance. So this is rather here. We hope for a positive surprise. And then, relating also to risk cost, there was a question to the sensitivity of risk cost to weaker GDP growth. And this I hand over to Hannes.
Hannes Mosenbacher: Johann, thank you. Well, you anyway know how our models are being built, but just to reiterate for the big audience. Our macro models are -- of course, comprise GDP changes, what is the level of interest and of course unemployment rate on the retail side. And looking at the adjustments, as we have demonstrated on one of the previous slides, as of today, we would believe that adjusting our models and including and using these new variables, this updated variables, the impact could be between €30 million to €50 million. Thank you for the question.
Johann Strobl: Then there is -- there are two questions from Krishnendra, I hope I spell it again right, at Barclays. Where would the loan growth come from? And what is the competition for liabilities like? So talking about the loan growth then what we see -- it should come as it is stronger in countries where we have a good retail business, so Slovakia, Czech, Romania. Here, probably we can achieve it above market in Austria, which is also part of the retail if the building societies account where we also see some good inflow. And yes, probably as I tried to guide you is maybe 6 to 7, rather I would be very positively surprised if we can come close to the 7. Now to the liabilities competition. So what we see is competitors, and I will not exclude ourselves, have been and are still going to offer special products with a nice interest rate. And of course, this has then an impact on the overall pricing as well as a shift then to specific product areas. So it's more in this dimension. So it's less on the account itself. So on the accounts where the payments, the transfers are happening here, I think there is quite a discipline in the markets not to offer rates, but the restructuring of the liabilities by the corporates is -- and more so by the retail is an issue. And we see this in almost all the markets. Thank you for the questions. Then there is questions -- are questions from Ben from KPV [ph]. And these are questions for Hannes. The one was overlays, Poland guidance for FX mortgages and then the further regulatory CET1 impact this year? Hannes, please?
Hannes Mosenbacher: Thank you, Johann. Ben, as I announced when walking through the presentation, I think we have to see how the entire geopolitical situation around about tariffs is working out itself. The 90 days would run off on the July 4. I use the term interesting times ahead. We would like to deep dive also on the second round effects on the affected portfolios. This is automotive. This is machinery. This is chemicals. And then in Q2 or Q3, we might be tempted to further increase our overlays. But what for me is very important, as Johann said, we really clearly stick to up to 50 basis points guidance for the full year. That's very important for me. And then let's see how the whole tariff tit-for-tat is working out. And as I said, this might be for us a good reason to see and also the output of the stress test, the internal stress test, whether or not we would make use of further overlays. This is when talking about overlays this year. What is the full year guidance for provisions in Poland for FX mortgages? In our full year call, we gave a guidance of round about €300 million. At this period in time, we would still confirm this guidance. And then the last topic, what you raised as a question then is, are there further regulatory CET1 impacts this year? So here, on the one hand side, we could see the introduction of sector-specific countercyclical buffer, which might be applicable with the beginning of July 2025. Here, we would assume that this is maybe a 2 basis points impact coming forward. And at the same time, I would like to share with you that we are finishing some of our IRB model approvals. And here also, in total, we would expect that we would maybe see an RWA relief of up to 500 comprising all the different shifts from the standardized model to the IRB model. Hopefully, this is good enough at this period of time. Thank you for the question.
Johann Strobl: Thank you, Ben. I see an incoming question from Jill [ph]. And this is referring maybe Hannes also for you. What did you do with the non-performing loans? Did you sell it or write it down?
Hannes Mosenbacher: Well, Jill, what we have done and you anyway would notice, this is typically toolbox deployed. We had -- there was one bigger case making it way to the Austrian news late last year. And the insolvency procedure applied for is this 30% minimum quota, but in a self-administrative way. So means as soon as the client defaulted, we have created a provision level of up to 70%. And then as soon as the court was confirming it, this provision level still remaining outstanding exposure. This gives you quite a big lever on the coverage ratio. This is also one of the reasons why coverage ratio came down. The other thing is that we have sold two smaller exposures outstanding, which have been quite seasoned also to further work on our NP exposure in total. This is the way how we have worked on in the Q1. So then can you please give some information on the [indiscernible] that while Austria has been experiencing two years of GDP contraction and forecasting a third one in Austria, you have -- you only have overlays in Q1 and no Stage 3? That's an obvious question, Jill, I accept. But I think -- on the one hand side, I think the companies have been very much challenged in 2022, 2023; 2022 because of the soaring interest. We then see the challenges in defaults in '23. Some others have been challenged in '24 because of this much more expensive liquidity. Many other companies have adjusted early on. Indeed, we have, of course, reviewed our portfolio. We also made use of our overlays in these two years I was referring to. And well, if we would see that the third year of GDP contraction now also would give us more stress on downgrades or even maybe defaults, of course, we might be tempted in Q2 to think about overlays. But at this period of time, again, for me, important to reiterate, we feel comfortable with the level of overlays. We will look who is being impacted by the tariffs in the first round and second round effect, and we would like to take it from there. So the last one, what is the trend in -- of loans going from performing to non-performing, corporate insolvency trend? Sorry, let me allow you to make one more statement on the second question. What is also very important, Jill, when we talk about Q1, as long as you did not come up with the official publication of the numbers, you have this extended period where you would have to demonstrate certain defaults, let's say, from January still in the previous financial year. That is the reason why maybe the Q1 is rather a short quarter for risk managers when it comes to reflecting risk costs. So we have a certain seasonality in this -- in our risk cost guidance. Well, at this moment in time, I think this is the best I can give as to answer the questions you have raised. Thank you very much.
Johann Strobl: Thank you, Hannes. Ladies and gentlemen, I see that there are no more questions. So let me thank you for your patience. And please accept our apologies for the technical challenges. Sorry for that. Thank you for joining us today, and we wish you a nice afternoon. Bye-bye.
Hannes Mosenbacher: Thank you. Bye.
Operator: Thank you. You may now disconnect.